Operator: Good morning, and welcome to Shoe Carnival's Fourth Quarter 2022 Earnings Conference Call. Today's conference is being recorded. It is also being broadcast via webcast. Any reproduction or rebroadcast of any portion of this call is expressly prohibited.  
 Management's remarks may contain forward-looking statements that involve a number of risk factors. These factors could cause the company's actual results to be materially different from those projected in such statements. Forward-looking statements should also be considered in conjunction with the discussion of risk factors included in the company's SEC filings and today's earnings press release. Investors are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today's date. 
 The company disclaims any obligation to update any of the risk factors or to publicly announce any revisions to the forward-looking statements discussed on today's conference call or contained in today's press release to reflect future events or developments. 
 I would now like to turn the conference over to Mr. Mark Worden, President and CEO of Shoe Carnival, for opening remarks. Mr. Worden, you may begin. 
Mark Worden: Good morning, and welcome to Shoe Carnival's Fourth Quarter 2022 Earnings Conference Call. Joining me on today's call are Kerry Jackson, Chief Financial and Administrative Officer; and Carl Scibetta, Chief Merchandising Officer. Let me start today by thanking our nearly 6,000 team members. During 2022, they ensured our customer shopping experience at Shoe Carnival and Shoe Station stores across the country was exceptional with the freshest branded products, a modernized shopping experience, more convenient locations to shop and dedicated service to all to meet our customers' needs. As we start fiscal 2023 and I look ahead, we are well positioned to execute our strategic growth plan to become a multibillion-dollar retailer by 2028 and to provide our shareholders with the top-tier returns in our sector. 
 I would now like to begin by reviewing the highlights from 2022. First, during 2022, we grew our customer base to over 32 million, with our loyalty membership surging over 34% from just 3 years ago. Every day of every week, we're learning more about these customers, enabling us to better segment our customer base, better identify the optimal product for them and to better engage them with meaningful messages and the freshest products.  
 We continue to elevate our capabilities and CRM advantages that drive traffic into our stores and online, including upgrading our technology, building our analytical capabilities and developing our internal talent. This translated into a targeted promotional plan for the year and segmented marketing activities that helps deliver gross profit margins up 700 basis points for the year and 920 basis points growth for Q4 as compared to just 3 years prior.  
 The acceleration of gross margin growth in Q4, our most promotional period of the year, is further reassurance that the improved margin levels are sustainable. In fact, gross margins have now been 500 to 1,000 basis points higher for each of the last 8 quarters versus 2019.  
 Q4 gross margins were the highest Q4 results in our 44-year history despite increasingly deep price discounting from our competitive set. So we have already captured nearly 1.5 million Shoe Station customers into our loyalty program only a few short months after launching. Moving forward, we will continue to build our customer relationship expertise and see this as a key lever for expanding customer accounts, driving traffic and delivering top-tier shareholder returns.  
 Second, the rapid growth of our customer count and continued high gross margins resulted in 2022 sales growth of $225 million versus 3 years ago or plus 21.8%. This achieved significant market share growth over the prior 3-year growth period compared to our competitors' results.  
 Specifically, looking at the competition for the 3-year horizon from 2019 to 2022, none of the other public family footwear retailers or moderate department stores achieved half the sales growth of our corporation. And many competitors, in fact, had sales declines.  
 Customers in Shoe Carnival and Shoe Station markets are resoundingly selecting us over the competition for the best branded footwear and accessories from their most loved brands. Our sales growth has been balanced over the past 3 years with approximately $125 million of organic sales growth and approximately $100 million of growth from acquisitions. We see this balanced approach continuing as a core part of our strategic growth road map, surpassing $2 billion in sales in 2028.  
 Third, earnings per share of $3.96 achieved our annual profit guidance. This EPS result is growth of 171% versus 3 years ago and 583% earnings growth versus just 5 years ago. In fact, the total earnings generated during 2022 and 2021 are more than the prior 13 years of earnings combined. I was most encouraged that our Q4 GAAP earnings per share were the most profitable Q4 in our history despite winter storms disrupting our customer shopping during the peak holiday period.  
 Fourth, I've made a commitment to shareholders throughout the past 2 years that executing our strategic plans would result in doubling our operating profit and generating shareholder returns in the top tier of the sector. I'm pleased to report this has been achieved.  
 Operating profit margins achieved increased guidance I shared last quarter, ending the full year at 11.6% compared to 5.2% 3 years ago. We have now sustained operating profit margins over 11% for the last 2 years and successfully elevated our shareholder returns to the top tier in our segment.  
 Last, our balance sheet is strong. We have 0 debt at the end of 2022, marking the 18th consecutive year of no debt. We have no debt today. And as we progress into our peak back-to-school selling season, we see rapid free cash flow generation and inventory levels across categories normalizing.  
 We are mindful of the inflationary environment and economic uncertainty in the market. As such, we have updated our capital investment to a modest approach for the first half of 2023. Financially and operationally, this has us very well positioned to fund accelerated growth in the second half of 2023 and into 2024, both organically and with targeted acquisitions if desirable targets become available.  
 Turning now to a few comments about 2023 before Carl and Kerry add further detail. Our business fundamentals and long-term growth prospects are strong despite the current high inflationary environment. We see growth of customers and growth of store counts this year. Our operating margins remain on track to be double digit for the third consecutive year, and we see the most likely outcome is that earnings per share is over $4 for 2023. Kerry will provide a detailed overview of our 2023 guidance shortly.  
 The addition of new stores to the fleet will increasingly be the core driver of growth in the years ahead. The new Shoe Station stores that opened in 2022 have far exceeded our historical new store opening results. Historically, successful new Shoe Carnival stores, on average, took 6 years from launch to generate double-digit profit contributions for the corporation. I'm excited to share that the new Shoe Station stores are pacing to deliver double-digit profit contribution within the first 18 months of operation, cutting down the duration of time from launch, the solid profit contributor by approximately 75%.  
 This, in turn, enables us to leverage our new stores' profit generation to self-fund rapid expansion in the years ahead. For example, the 3 new stores opened in 2022 can self-fund 10 stores opening this year. 10 store openings in 2023 can more than fund 20 store openings in 2024 and so on.  
 We continue to take a methodical approach to new site selection, to M&A activity and to capital allocation strategies to ensure top-tier profit returns for our shareholders. As shared previously, we will surpass 400 stores this year, and we have a road map to surpass 500 stores by 2028 through a combination of organic growth and targeted store acquisitions.  
 We had planned store growth this year to be primarily backloaded with a range of 10 to 20 additional stores in our guidance. We continue to make significant progress on our fleet modernization program with over 40% of the fleet complete currently.  
 Feedback from customers and vendors have been compelling for our differentiated store experience with this rollout. As such, we plan to proceed with our modernization rollout and plan to complete over 60% of the fleet by the end of fiscal 2023.  
 Finally, as previously shared, our CFO, Kerry Jackson, is retiring in May after 35 years of service to Shoe Carnival. I'm so thankful for Kerry's exceptional contributions and for the legacy of excellence he leaves behind in our finance organization.  
 Last week, I announced that Mr. Erik Gast has been named our next CFO and will be joining the company in April. Erik is currently the Executive Vice President and CFO of Fleet Farm, a $1 billion-plus retailer in the Midwest. Erik's 30-plus years in finance roles, his deep retail and M&A experience and his results orientation make him a strong addition to our management team. I look forward to Erik joining and introducing him to the investment community at our Q1 earnings call scheduled in May.  
 With that, I'll ask Carl to discuss our performance further. Carl? 
Carl Scibetta: Thank you, Mark. As Mark highlighted, today's results are compelling evidence that our strategy continues to work. During the fourth quarter, we again saw a shift in consumer demand as sales continue to move to the nonathletic categories. This shift was 410 basis points compared to the same period during 2019.  
 We anticipated this move in customer demand to the nonathletic product and positioned inventory to take advantage of this fashion change. We did see improvement in product deliveries as the supply chain issues we have been experiencing in the past several years continue to improve.  
 Our outstanding team of merchants continues to collaborate closely with our vendor partners, ensuring consistent flow of products to our stores. The normalization and consistency of deliveries enables the merchant team to plan and execute appropriate monthly receipt levels.  
 The result will see inventories reducing as we move through the year. This reduction will further support our modernization as well as our aggressive store growth plans. Diligently managing inventory flow will ensure our stores are stocked with the most desired product offerings that are time appropriate as we move through fiscal 2023.  
 Importantly, both aged inventory and seasonal carryover inventories are in line. As a result, we do not have a glut of distressed inventories and see no need to provide deep discounts to liquidate goods going forward.  
 Turning to results. As I mentioned, our anticipated shift in sales from the athletic categories to the nonathletic categories continued in the fourth quarter. Comp sales in the nonathletic categories versus 2019 were up in the low 20s, and comp athletic footwear sales were up in the mid-singles.  
 Sales versus 2021 were down in the low singles for nonathletics attributed to lower boot sales, and athletics were down in the low 20s. By department, women's nonathletic was up in the high singles versus 2019. Casuals drove sales up in the mid-40s, sport up in the low 30s, and dress shoes were up in the mid-20s.  
 Women's boots were down 10%. Men's nonathletic sales were up in the high 20s versus 2019. Men's casuals drove this increase, which was up over 60% and further reflects the consumers' move to nonathletic footwear. Men's boots were up in the high singles and men's dress down in the low singles compared to 2019.  
 In the markets we serve, Shoe Carnival continues to lead the way regarding children's footwear. Children's nonathletic sales versus 2019 were up in the mid-50s. All children's product categories were up significantly. Casuals drove increases up almost 200%, and infants' nonathletic sales were up in the mid-50s. Sales in children's athletic were up in the mid-teens. Adult athletic sales were down less than 1% versus 2019.  
 With the fashion trends we are seeing and the improved product flow, we anticipate the continuation of strong sales results in the nonathletic categories for fiscal 2023. As we have seen for the past 8 quarters, we continue to deliver excellent product margins. Fourth quarter product margins ran up over 800 basis points versus 2019 on our result of our transformational promotional strategy.  
 Our best-in-class CRM program continues to drive loyal customer growth. This data provides us valuable insights into our over 32 million customers and enables us to engage with these consumers through smart effective promotions that are not margin dilutive. The success we have seen utilizing this strategy transformed the Shoe Carnival model, and the fact that we have seen these margin levels for over 2 years is proof of that.  
 As we move into fiscal 2023, the uncertain economic climate as well as cooler weather has led to a slow start of the spring season. While our inventory position in the important categories has improved versus last year, the consumer demand has been delayed. We have seen this delay in previous years and anticipate the sales acceleration we realized then, which came later in the spring summer time period. In addition, the supply chain improvements will provide a much stronger athletic offering moving into back-to-school and the fall selling season.  
 With that, I will turn the call over to Kerry for a review of our financials. Kerry? 
W. Jackson: Thank you, Carl. I'm excited to share with you the financial highlights from another successful quarter driven by the highest Q4 gross profit margin in our history despite a promotional holiday season. Similar to previous quarters this year, I will be comparing results versus 2019 as we see as the most relevant and normalized period prior to the start of the pandemic.  
 Net sales in Q4 were $290.8 million and were the highest second -- the second highest Q4 sales in our history, surpassed only by Q4 last year. These sales increased $50.9 million or 21.2% compared to the pre-pandemic fourth quarter 2019 driven by sales of $24.3 million from our Shoe Station banner and comparable store sales increase of 12.6% from Shoe Carnival banner.  
 This is the third quarter this year with double-digit quarterly comparable store sales increase resulting in a year-to-date comparable store sales increase of 13.9%. However, our sales results did fall below our expectations for the quarter.  
 Total net sales increases over 2019 have been trending in the upper 20% leading into the holiday season but ended up in the low 20% increase for Q4. We attribute this to the blast of Arctic air, which brought dangerous temperatures along with snow and ice to much of the nation just prior to Christmas.  
 It was apparent to us shoppers were waiting to buy closer to Christmas in the hope of finding promotional pricing. We saw a ramp-up in sales leading into Christmas, but the severe winter weather halted the positive sales trend until after Christmas, and we lost the last-minute impulse Christmas shopper.  
 Our Q4 gross profit margin was 38.3%, a 920 basis point increase compared to the fourth quarter of 2019. This increase all came from our merchandise margin with buying, distribution and occupancy flat. Our record Q4 gross profit margin was 100 basis points higher than Q4 last year despite deleveraging our buying, distribution and occupancy costs this year by 150 basis points increase compared to Q4 last year.  
 SG&A expense in Q4 was $82.6 million or 28.4% of sales compared to $65.1 million or 27.1% of sales in Q4 2019. The increase in SG&A was primarily due to investments in advertising and store-level wages along with expenses for the Shoe Station banner acquired last year.  
 Q4 operating income was $28.7 million or 9.9% of sales compared to $4.8 million or 2.0% of sales in Q4 2019. For the full year, our operating margin was 11.6% compared to 5.2% in fiscal 2019. This is in line with our expectation of annual double-digit operating margins, which are more than double our historical run rate.  
 Net income for the fourth quarter of 2022 was $21.6 million or $0.79 in diluted earnings per share, an increase of 558% compared to the fourth quarter of 2019. This is the highest fourth quarter net income and diluted earnings per share on a GAAP basis in our history or the second highest compared to the adjusted earnings in the fourth quarter last year.  
 We closed out the quarter with inventory of $390.4 million, which is up $130.9 million compared to the fourth quarter 2019. Almost 40% of the increase in inventory for Shoe Station stores acquired last year or opened this year and in-transit inventories. Of the remaining increase, the better part of it is children and athletic inventories.  
 Generally, supply chains have healed in the second half of this year and with that came the delivery of delayed merchandise along with the current on-order merchandise. We have worked together with our vendor partners and are confident we have a plan that will keep our inventories fresh with compelling fashion, avoid unnecessary markdowns but also allow us to manage our purchases in the first half in order to return our children and athletic inventories to a more typical level in September after the back-to-school selling season has completed.  
 Today, we are initiating our fiscal 2023 guidance. Please remember that 2023 includes 53 weeks this year. The total company results will include activity for 53 weeks, but the comparable store sales will exclude the extra week.  
 Given the uncertainty in the economy at this time, we feel it is prudent to take into account a wide range of outcomes in our guidance with a conservative view that we will not see a stronger economy in Q2 and beyond, and we will expect flat sales and EPS in fiscal 2023.  
 Our more optimistic view is a more stable economy will lead to positive comparable store sales and more robust new store growth. Under this scenario, we expect our sales will increase approximately 4.5%, and EPS will increase up to 6%.  
 Summarizing our expectations for 2023 fiscal year, we expect sales to range from $1.26 billion to $1.32 billion. Gross profit margin will be approximately flat to last year at 37%. Operating income margin will decrease slightly to 11.4%, and diluted earnings per share to range from $3.96 to $4.20.  
 Implied in our annual sales guidance, comparable store sales are expected to be down 2% to up 2% compared to fiscal 2022. Driven in part by decreases in inventory, we expect cash flow from operations for the year to range from $170 million to $210 million. After capital expenditures of $60 million to $70 million, we should see free cash flow between $110 million and $140 million.  
 One final note on guidance. As Carl had mentioned earlier, we have seen a slow start to our first quarter. We are currently expecting a mid-single-digit decline in net sales for Q1 and a decline in EPS compared to Q1 last year. These Q1 expectations are factored into our annual guidance ranges.  
 In closing, our fourth quarter results are a continuation of transformational profitability for Shoe Carnival compared to pre-pandemic levels. We are confident in our ability to execute on a strategy to become a multibillion retailer with top-tier profitability in 2028. And we will achieve this long-term growth through a combination of organic store expansion and modernization and selective acquisitions.  
 My final comments today is personal. As Mark mentioned earlier, I will soon be retiring after 35 years at Shoe Carnival, 26 of those as CFO. When I joined in 1988, we had 13 stores doing about $35 million in sales. It was a small company with grand ideas.  
 As I look back, I realize how fortunate I have been to work for and with some of the nicest, most talented and hardworking people. The people working at Shoe Carnival has always seemed to me to be greater than sum of its parts due to the love of the company and each other. And this management team, led by Mark and Carl, is no different.  
 I owe so much -- I owe so many people for helping me along my career. I wish I could thank each of them personally. I leave the company knowing it has never been stronger and has a broad future. I particularly want to thank my friends and coworkers in the accounting and finance areas. We together have built an excellent team that is an asset to the company, which was most notable during the recent acquisition of Shoe Station.  
 In a few weeks, I will hand the baton to Erik Gast. I can't think of a better person to partner with Mark, Carl and the rest of the management team and Board of Directors to drive profitable growth long into the future.  
 With that said, I'd like to open up the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Mitch Kummetz from Seaport Research. 
Mitchel Kummetz: And Kerry, I want to thank you for all your help over the years. I want to wish you the best of luck. The first question is on the fourth quarter. I think in the press release, you gave comp on a 3-year basis. What was it year-over-year? 
W. Jackson: We were down 10.1% on a year-over-year basis. 
Mitchel Kummetz: Okay. And then for Q1, I think you mentioned that the guide is sales down mid-singles, earnings down. I'm wondering on the sales, is that kind of how you're trending quarter-to-date? Or do you -- or does the mid-singles assume some improvement over the balance of the quarter? 
 And then I was hoping you could elaborate on the earnings being down year-over-year. I don't know if you expect it to be down a little or down a lot. Anything else there would be helpful. 
W. Jackson: Well, what we're seeing right now with the weather the way it is, we're trending a little bit higher than our expectation. And as Carl said, we've seen this story before. As it warms up, we expect our sales trend to get better, but we still expect to be down at mid-single digits. 
 We're not going to quantify yet. We just want to alert the fact that we do believe we'll have a down EPS quarter in Q1, but that we see that as in the range of the outcomes we've given for annual guidance. 
Mitchel Kummetz: Okay. Okay. Maybe let me just sneak in one more for Carl. Carl, you mentioned -- I think you said for '23, you expect stronger performance in nonathletic than athletic, but that I think by the back half, you expect athletic to kind of kick in starting with back-to-school. 
 Can you just maybe provide a little bit more color in what you're seeing there between the 2, particularly as it relates to inventory flows? If I'm not mistaken, I think that's gotten quite a bit better on the athletic side. 
Carl Scibetta: Sure, Mitch. You're absolutely correct. As we move through the back-to-school time frame last year, we had a lot of disruption in deliveries on the athletic footwear side, late deliveries and goods that actually missed the back-to-school selling period. 
 This year, what we're experiencing starting in the fourth quarter and forward, our athletic deliveries actually coming in on time and in some cases, early. So we think that's an opportunity as we move out of second quarter into third quarter and throughout the fall season from the athletic standpoint. 
Operator: Our next question comes from the line of Sam Poser from Williams Trading. 
Samuel Poser: In Q -- I might have missed it, but in Q4, what was the merch margin and the year-over-year? 
W. Jackson: We gave gross profit book -- well, as all -- the entire increase was the increase in the merch margin, buying distribution and occupancy costs were flat. 
Samuel Poser: In the quarter? 
W. Jackson: In the quarter. 
Samuel Poser: And then a couple of -- a little more color on the guidance. The 53rd week, what is the -- how are you valuing that week in dollars? 
W. Jackson: It's about $14 million. 
Samuel Poser: Okay. And then the -- in the first quarter guidance, I mean, are you -- how should we be thinking about that? Are you looking at the same kind of gross margin you saw in -- I mean, how should we think about the gross margin in the first quarter relative to the current trend and so on and so forth? 
W. Jackson: Yes. We're still running an elevated gross profit like we did last year. So it really is the traffic in the stores that we're seeing a decline in the sales. 
Samuel Poser: So then, Carl, how do you get the -- I mean how are you maneuvering bringing the inventory down? Or is most of this inventory down coming out of athletic receipts in the first -- athletic and kids receipts in the first part of the year and then that improves. So to not have to take the markdowns like in boots and stuff like that. 
Carl Scibetta: Yes. Sam, the inventory, as I stated, from a seasonal category and an age category is well in line. In fact, the seasonal inventory carryover is less than it was a year ago. 
 We delivered and Kerry had pointed out a lot -- we delivered delayed product and a lot of on-time product at the same time, which elevated the inventory in both those areas. We've worked very closely with all our vendors to put together a program that enables us to maneuver, sell through that inventory, keep freshness going and get ourselves where we want to be as we head into the back-to-school time frame. So the need for markdowns to push out inventory isn't there with the partnership we've had with our vendors. 
Samuel Poser: Okay. When you are comparing -- when you were comparing Q1 earlier on the question, you were talking about year-over-year or versus '19? 
W. Jackson: Anything that's referencing '23, Q1 '23 will be against Q1 '22. We -- it was important this year in '22 to recognize that what a comparable was -- now the best compare was in '19. But as we rest into '23, the '22 results, we think, are the new benchmark, and we'll be comparing '23 against '22 from now on. 
Samuel Poser: All right. I just want to clarify something. In Q4, the improved gross margin versus in Q4 '22, what was the breakdown of the gross margin versus 4Q '21? Was it 67 basis points of merch margin and the BD&O is flat on a year-over-year basis? Or can you clarify that just year-over-year? 
W. Jackson: So you're saying you're wanting to know Q4 of '22 versus '21? Is that what you said, Sam? 
Samuel Poser: Right. The merch margin versus BD&O. 
W. Jackson: Yes. The merch margin was up 250 basis points. We deleveraged BD&O by 150 basis points, and we saw 100 basis point improvement on a GAAP basis. 
Samuel Poser: But your gross margin -- all right. all right. I appreciate it. 
W. Jackson: Sam, you have to decide if you're talking about GAAP or adjusted because we had -- with the acquisition of Shoe Station, we had adjusted earnings in Q4 of '21, which changed some of the margin numbers. 
Operator: Our next question comes from the line of Jim Chartier from Monness, Crespi and Hardt. 
James Chartier: So your gross margin in fourth quarter was the strongest 3-year performance of the year and well above the full year improvement. So I'm curious as you lap some of the freight and distribution expenses in the first half, how are we thinking about what the potential benefit from some of those tailwinds are? And then what are some of the headwinds you may be facing that offset that? 
W. Jackson: Well, the -- you're absolutely right, Jim. And in the first half of '22, we saw significantly higher freight costs. That will become a tailwind for us as we go into '23. We -- the supply chains have healed. While fuel is still elevated and labor for transportation is still elevated, it's not going to go back to '19 levels, but we will see a benefit against that on a go-forward basis against '23. 
 Now one of the things that we want to kind of take into account is that as retail more normalizes, we're leaving ourselves some opportunity within our guidance that we're going to become more a lower merchandise margin, slightly lower, but that will be offset by the supply chain costs coming down also. 
 So that's why we're guiding to about a 37% gross profit margin. It doesn't mean we're changing the way we're operating. We're giving the opportunity as retail more normalizes that we may see a little more pressure on our merch margin. 
James Chartier: Okay. And then your Shoe Station looks like it missed by like $5 million or something in fourth quarter. So any color around what happened with Shoe Station in the fourth quarter would be great. And then does it change the outlook for the business going forward? 
Mark Worden: Jim, it's Mark. The Shoe Station ended just slightly below what we expected at approximately $100 million. The customer count landed ahead of where we wanted and the integration far ahead of where we wanted. 
 As Kerry mentioned, we had weather disruption throughout some core seasons. And I think I mentioned in the last call, we decided to postpone the shoestation.com launch to the beginning of this new fiscal as opposed to putting any risk into the fourth quarter of a successful launch. That launched smoothly to begin this year in February. And we're rapidly capturing new customers, new data and great success. 
 On a go-forward basis, we're incredibly enthusiastic about Shoe Station. It's exceeding our internal expectations, and we've got a bright future ahead. 
Operator: Our next question comes from the line of Mitch Kummetz from Seaport Research. 
Mitchel Kummetz: Just starting -- just a little bit more again the shape of the year. If Q1 sales are down mid-singles and full year sales are flat to up 4.5%, can you kind of help me understand how we get to that? I mean, do you expect sales to progressively -- the sales growth to progressively get better over the course of the year? Or do you think there's a big step change from sort of Q1 to Q2? Any more color kind of on the shape of the year? 
Mark Worden: It's Mark. We'd love to. If you recall, last year, we had some significant supply challenges and disruptions to our athletic business in our most important part of the year. And we were disappointed with our ability to delight that athletic kid customer in back-to-school. 
 As Carl alluded to, we expect significantly improved position on the product and all the brands our customers most want this back-to-school season. And therefore, we're expecting significant growth surrounding the back-to-school season as well as leading into it, where we also had choppy supply chain challenges from some of the world's biggest vendors in that June, July time frame. 
 We're in a much better place for that. So we have a lot of confidence in that time frame. Kerry can provide some more specifics. But that is the primary reason we'll see a significant acceleration. And we don't really see that tied to the macroeconomic situation. That is a real benefit or a tailwind for us based on challenges last year being rectified this year. 
W. Jackson: Mitch, also on -- so when you look at the comps, we see the comps flowing that way. We see the better opportunity being in Q2 and early into Q3. There's also the wild cards is the opening of the new stores. 
 So to get to the high end of the guidance, if we see the economy in good shape, we're negotiating a lot of deals that would be later this year in the second half. And if we felt the economy wasn't set right, we could push those into early '24 also. So it's dependent upon our view of the economy and how many new stores we could open. 
Mitchel Kummetz: Okay. And then, Mark, you mentioned that Shoe Station was roughly $100 million in '22. What kind of sales projection is embedded in the '23 guide for Shoe Station? 
Mark Worden: Strong growth. We have a double-digit growth plan for Shoe Station. And I think 2 biggest drivers we're most excited about are new store openings plus in the guidance are largely Shoe Station as well as shoestation.com is now up and running and capturing growth. So we got it in the low double digit to put a range on that Mitch. 
Mitchel Kummetz: Okay. And then, Carl, just a couple of quick merchandising questions. So I think you said for Q4, boots were weak. I'm wondering if that has continued into early Q1, particularly February. I believe that February was a pretty strong month for boots a year ago. 
Carl Scibetta: You are correct. The boot trend that we saw in fourth quarter did continue into the early part of the spring season as customers are looking for newness and freshness. So that boot issue did continue. Frankly, we're waiting for fresh new boots for next year. 
Mitchel Kummetz: Okay. And then sandals, I don't think it's terribly important for you in Q1. I think it's a lot more important for you in Q2. But I'm guessing sandals probably not off to a very good start in March. But -- and so I'm curious if that's the case. 
 And then remind me, I feel like a year ago, April was not the best month weather-wise. I'm wondering if that's an easy compare on the sandal business for April and then maybe the balance of the quarter, I guess that is the balance of the quarter. So... 
Carl Scibetta: Sure. Sandals -- yes, sandals have -- a good majority of our stores are in the midwest and in the north. And you've seen how that weather is in those areas. So that directly affects sandal business. In some of the areas where we've seen very few areas decent weather, sandals seem to be performing. 
 Last year, absolutely it came late, sandal business really did kick into the very end of April and through the May time frame in the second quarter. And based on weather, that certainly could happen again this year. 
Mitchel Kummetz: Okay. And then last thing, just housekeeping. I know, Kerry, Sam asked you about the 53rd week impact on sales. Is there any impact on earnings for the year? 
W. Jackson: It's immaterial. There's a slight benefit to EPS, but it's not material to the overall guidance. 
Operator: Our final question comes from the line of Sam Poser from Williams Trading. 
Samuel Poser: Well, I guess the question is you've baked -- you've said 10 to 20 new stores, and I wonder how many -- like what's the -- is 15 new stores baked into the guidance? Is 10 on the range? I mean -- or is the range of the guidance reflective of the new store count? 
W. Jackson: Sam, there's a range of outcomes that we have built into the high end of the guidance -- and what we try to do is at the high end, what the comps would be and the number of new stores. One of the biggest factors about new stores is when do they open in the year, how productive would they be in sales for the year. But when you look at the high end, it's both the comps and higher new store count. 
Samuel Poser: And then lastly, Kerry, it's been a pleasure. I wish you all the best in your retirement. 
W. Jackson: Sam, I appreciate that, and I also appreciate Mitch's kind words and it's been a -- Jim, you too also. It's been a pleasure working with all 3 of you. 
Operator: I would now like to turn the call over to Mark Worden for closing remarks. 
Mark Worden: Thank you, again, all for joining us for today's fourth quarter call, and I look forward to discussing Q1 results with you in May and again, we wish Kerry all the best for a wonderful retirement after 35 years. Thank you. 
Operator: Thank you, ladies and gentlemen. This does conclude today's call. Thank you for your participation. You may now disconnect.